Operator: Good day, ladies and gentlemen and welcome to the Thermon Fiscal 2018 Earnings Conference Call. At this time, all participants are in a listen-only mode. Following management’s prepared remarks, we will host a question-and-answer session and our instructions will be given at that time. [Operator Instructions] As a reminder, this conference call may be recorded. It is now my pleasure to hand the conference over to Ms. Sarah Alexander, General Counsel. Ma'am, you may begin.
Sarah Alexander: Thank you, Brian. Good morning and thank you all for joining today’s conference call. We issued an earnings press release this morning which has been filed with the SEC on Form 8-K and is also available on the Investor Relations section of our website at www.thermon.com. A replay of today’s call will also be available via webcast after the conclusion of this call. This broadcast is the property of Thermon. Any redistribution, retransmission or rebroadcast in any form without the expressed written consent of the company is prohibited. During this call, our comments may include forward-looking statements. These forward-looking statements are subject to risks and uncertainties and our actual results may differ materially from the views expressed today. Some of these risks have been set forth in the press release and in our quarterly and annual reports filed with the SEC. We also would like to advise you that all forward-looking statements made on today’s call are intended to fall within the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These statements may include, among others, our outlook for future performance, revenue growth, profitability, leverage ratios, acquisitions, acquisition synergies and various other aspects of our business. During the call, we will also discuss some items that do not conform to Generally Accepted Accounting Principles. We have reconciled those items to the most comparable GAAP measures in the tables at the end of the earnings press release. These non-GAAP measures should be considered in addition to and not as a substitute for measures of financial performance reported in accordance with GAAP. And now, it’s my pleasure to turn the call over to Bruce Thames, our President and Chief Executive Officer.
Bruce Thames: Thank you, Sarah. Good morning, everyone and thank you all for joining our conference call and for your continued interest in Thermon. Today, we have Jay Peterson, our CFO, joining me on the conference call. Jay will follow me and present the financial details of our fiscal 2018 fourth quarter, and our full fiscal year. I’d like to just take a moment here to reflect back on some key accomplishments in fiscal 2018. In Q1, we began production in our operation in Russia, to provide access to a large growing market for industrial process heating. We continue to invest in research and development to lead the industry with products that differentiate our solutions in the marketplace. During the year, we added key talent to the team and build robust processes to accelerate the pace, and improve the overall success rate of new product launches. We also invested in processes, systems and tools to build a scalable business globally, that improved operations, productivity, and project execution, all of which had a positive impact profitability in the year. Finally, we acquired CCI Thermal now known as Thermon Heating Systems to grow our addressable market, enhance the solution set we provide to our customers, and create an expanded platform for growth. All of these investments are beginning to show a very positive impact on the overall performance of the company. We were very pleased with the overall operating results the team delivered in Q4. We saw revenues of $102.6 million exceed our expectations for the quarter and increased 51.8% year-over-year. Organically this represented the second consecutive quarter of double-digit growth with revenues of $77.6 million, up 15.1% year-over-year. Margins also improved by 380 basis points year-over-year on a Greenfield mix of 42% versus MRO/UE of 58%. Inorganic margins had 130 basis points positive impact in the quarter. As a result we saw very strong operating leverage in their overall business with adjusted EBITDA of $22.6 million in the quarter, an increase of 117% and adjusted EPS of $.022 a share up 120% year-over-year. Amortization was $5.7 million and $0.12 a share in the quarter. After deducting amortization and one-time transaction related expenses, adjusted EPS was $0.34 a share for the quarter, up 110% year-over-year Given the strong cash flows from the business, we were able to retire $25 million in debt during the quarter. At the end of October following the acquisition, we had a net debt to EBITDA of 3.4 just five months later that is now been reduced to 2.6. We will continue to focus on debt reduction to ensure the business is well-positioned to capitalize on future investment opportunities. For the full year, Thermon generated $308.6 million in revenue, up 16.8% over the prior year. Organically after a very slow start to fiscal 2018, we saw backlog begin to convert which translated into solid growth during the second half of the year. Revenues for the year finished at $267.6 million up 31.3% year-over-year and essentially flat after adjusting for currency. However, revenues in H2 were up 17% year-over-year, 12% on a constant currency basis, as our end markets began to recover. Inorganically, Thermon Heating Systems had a very positive contribution to our success in the year, generating an additional $41 million in revenues over a five-month period, which was on the upper end of our range. We also saw margin improved by -- 420 basis points during the year, due to a return of maintenance spending in Canada, better project execution and a better mix. Organically margins were also up 420 basis points to 46.6 for the year. As a result, we saw strong leverage on the business with adjusted EBITDA of $64.8 million up 49.6% year-over-year and adjusted EPS of $0.63 a share up 46.6% year-over-year. Adjusted EBITDA margins were 21% up 460 basis points year-over-year. Fully burning in the acquisition with debt and amortization, but excluding one-time transaction related expenses, Thermon Heating System contributed $0.04 a share and adjusted EPS for five months of contribution in the fiscal year. Overall we are seeing positive trends in the operational performance in the business, the new acquisition and our end margins. We see this positive momentum carrying into fiscal 2019. Margins and backlog are also improving, but we are experiencing headwinds due to raw material cost increases that will likely slow or mute further margin expansion in the coming year. We do expect price increases to offset material inflation during the year. Bookings were down 16% consecutively, but grew 6% year-over-year on a pro forma basis. After five consecutive quarters of generating a positive book-to-bill, we saw shipments exceed incoming orders. Although the book-to-bill was 92%, the backlog $160 million was up 20% year-over-year on a pro forma basis. From a market perspective, upstream activity is improving with the exception of the Canadian oil sands. Both chemical and petrochemical sectors remain active as the project pipeline in North America improves, and combined cycle power projects are relatively flat particularly in the U.S. Geographically, North America showed strength in the second half of fiscal 2018. Going into fiscal 2019, we anticipate the growth in Canada to stall with the lack of take – pipeline takeaway capacity limiting further investments. In the U.S. and Latin America, we expect growth to continue into fiscal 2019. In the Eastern Hemisphere, we began to see larger projects and backlog move forward in the second half of fiscal 2018, and we expect this to continue into the first half of the coming fiscal year. We are expanding our R&D team to accelerate development of our product and technology roadmaps, these roadmaps will result in expanded portfolio of solutions to differentiate Thermon in the marketplace, create value for our customers and unlock new revenue streams for the business. We have five new product introductions planned in the coming year. Our M&A pipeline remains robust, but our near-term capital allocation will be dedicated to debt reduction as the first priority. We continue to execute on our plans to grow our addressable market by 2 to 3 times by the end of fiscal 2021. Our near-term goal is to reach $500 million in revenue, and 125 billion in EBITDA by the end of fiscal 2021, that will ultimately translate to double-digit compounded annual growth for our shareholders. During the economic cycle, we’ll continue to make targeted investments in key geographies with growth potential. We’ve also build a strong management team, established an operating presence in Eurasia to improve our market access, while increasing our investment in research and development to differentiate our solutions set. The acquisition of CCI Thermal has expanded the solutions we bring to the industry and grown our addressable market by approximately 50%. All of these investments position Thermon to generate growth exceeding the pace of the market recovery. Looking forward, we are pleased to begin fiscal 2019 with a more robust backlog and higher level of confidence. The positive momentum that we have seen in the second half of the year is anticipated to continue into fiscal 2019. Revenues are forecast within a range of $360 million to $370 million for the year, up 17% to 20%. We anticipate organic growth in the range of 3% to 5% for fiscal 2019 and revenues of $85 to $90 million to Thermon Heating Systems. No M&A is comprehended in these revenue projections. Our fiscal 2019 plans include continued expansion of our market channels and further increasing R&D spending to approximately 2% of revenue. Due to the seasonality of our business, we anticipate revenues of 45% in the first half versus 55% of the second half of the 2019 fiscal year. Organically, Q1 is anticipated to have a much stronger mix of Greenfield projects that will drive revenue growth year-over-year, but will be dilutive to margins on year-over-year comparison. Historically, Thermon Heating Systems also experiences seasonality while we do anticipate double-digit growth on a pro forma basis, Q1 is typically the slowest quarter of the year with volumes down by 23% to 27% from the peak heating season in any given typical year. I would like to take this opportunity to thank our Thermon employees around the globe for their collective efforts to serve our customers well and create shareholder value in fiscal 2018. I look forward to seeing what they deliver in fiscal 2019. Thank you again for joining us on the call today. Jay Peterson, our CFO will not address the details of our financial performance for Q4 and full year 2018. Jay?
Jay Peterson: Thank you, Bruce. Good morning, I will start by discussing our Q4 results, then turn to a summary of our fiscal year results and finally conclude with high-level guidance for fiscal year 2019. First off, revenue and orders. Our revenue this past quarter totaled $102.6 million and that’s a record for Thermon and an increase of 52% over the prior year’s quarter. Organic revenue and constant currency grew 9% in the quarter, FX contributed 6% to revenue growth and M&A revenue contributed 37% in the quarter. And on a pro forma basis, our total revenue grew by 15%. In the quarter, we continued to experience positive signs in our organic Canadian business with revenue up 55% in the quarter, followed by Asia Pac at 50%, and Thermon Heating Systems revenue increased by 16% and that’s on a pro forma basis. Our organic MRO/UE mix for Q4 was 58% of revenues, whereas Greenfield totaled 42% of revenues, and total orders for the quarter were $94.5 million versus $69.4 million in the prior quarter, and that’s an increase of 36%. And we did see double digit order growth in both Canada and in the U.S. and that is on an organic construct. Our backlog of orders ended March at $159.6 million versus $106.9 million at the end of fiscal year 2017, an increase of 49% with the thermal heating systems acquisition contributing 30% of the growth and our organic business 19%. And on a pro forma basis, backlog grew 20% from $133.5 million to $159.6 million. And our book-to-bill for the quarter was $0.92. Moving to gross margins, margin dollars this past quarter totaled $46.8 million or 45.6% of revenue and they grew by 66% versus the prior year quarter our margins increased by 380 basis points due primarily to an increase in Greenfield margins. Margins from Thermon Heating Systems were higher than our corporate margins by 130 basis points. And on a pro forma basis, margin dollars grew by 23% in the quarter from $38.2 million to $46.8 million. In terms of operating expenses, our core operating expenses for the quarter that is SG&A and this excludes depreciation and amortization of intangibles and any transaction related expenses totaled $25.3 million in the quarter versus $18.3 million in the prior year quarter, or 38%. And on a pro forma basis, our core spending increased from $22.9 million to $25.3 million or by 11%. Our operating expense as a percent of revenue was 25% and this excludes DNA and that’s down 200 bips from the prior year level of 27%. And for the quarter, intangible amortization expense totaled $5.7 million. Moving to earnings, our GAAP EPS for the quarter totaled $0.18 and that’s compared to the prior year quarter of $0.10 and that’s an increase of 80%. Thermon Heating Systems contributed $0.01 a share to our GAAP earnings on a fully burdened basis including all incremental interest expense. Adjusted EPS and this is defined by GAAP EPS, less amortization expense and any transaction related expenses in the quarter totaled $0.34 a share relative to $0.16 a share in the prior year quarter, and we will be communicating this construct going forward due to the high level of non-cash amortization expense running through our income statement. And at present, we are expensing $5.7 million per quarter or $0.12 per share each quarter amounting to $0.47 a share on an annual basis and that’s after-tax. Adjusting for transaction related expenses only, and this is our former adjusted GAAP construct, our adjusted GAAP EPS totaled $0.22 a share relative to $0.10 a share and that’s an increase of 120%. EBITDA grew by 117% versus the comparison quarter and our pro forma EBITDA grew 40% and totaled $22.6 million this past quarter and EBITDA as a percent of revenue was 22%. And due to continued expense management and increasing gross margins, we were able to leverage our business model by 2.6x, with EBITDA growth of 40% relative to revenue growth of 15% and both of these are on a pro forma basis. And this leverage was resident in both our organic business with leverage at 2.9x and Thermon Heating Systems with EBITDA to revenue leverage of 2.2x. And now to the balance sheet. During the quarter, we made an optional principal payment of $25 million on our syndicated term loan, reducing the debt balance by 10% to $225 million, and this reduction will add after-tax nearly $0.04 a share in annual earnings due to reduced interest expense. Our cash and investments balance ended the year at $33.9 million and recall our net debt to EBITDA ratio was 3.4x at the time of the October acquisition and through growth and EBITDA and a reduction in net debt we have delevered the business to 2.6x all within a five month period. Next I’d like to talk about fiscal year 2018 performance. We achieved many accomplishments during the year, including the following. We acquired Thermon Heating Systems and made significant inroads to integrating this business in the Thermon concurrent with growing this business by 16% over the five-month period in revenue, and 23% in EBITDA. And since the acquisition, Thermon Heating Systems delivered over $41 million in revenue at a 30% EBITDA margin and this exceeded our expectations. We grew total revenue by 17% to $308.6 million and EBITDA by 50% to $64.8 million. And we finalized heat tracing production in our Russian manufacturing facility and we ended the year with a record backlog of $159.6 million. And lastly some guidance points for fiscal year 2019. First off, we are planning topline revenue to be in the $360 million to $370 million range in the coming fiscal year, excluding any contribution from M&A. And at present we are not comprehending any M&A in this guidance, however, it is possible we will have actionable targets in the second half of the fiscal year. Also, as a reminder, our Q1 is typically a slower quarter for Thermon and that we are not in the prime heating season. And note that due to lower Q1 revenue, we believe Thermon Heating Systems will be accretive in adjusted EPS, but not GAAP EPS. Also while we saw Thermon Heating Systems delivered EBITDA margins of 30% during the heating season, we believe this will normalize the 25% over the entire fiscal year 2019. We expect Q1 operating expenses and this excludes depreciation and amortization to be in the range of 24 million to 25 million and this includes approximately 1 million and one-time expenses to realize future synergies. Consistent with last year, fiscal year 2019 is going to be an investment year in research and development for Thermon and we expect operating expenses to grow modestly. Note that we anticipate significant adjusted EPS and EBITDA growth in Q1. However, GAAP EPS growth will be muted due to the impact of amortization and interest expense. In addition our plan CapEx for this year will totaled $9 million or approximately 2.5% of revenue and that's flat with the 9 million in fiscal year 2018. Lastly, we expect to reduce our net debt to EBITDA leverage in excess of one half returns and this excludes any M&A transactions. I would now like to turn the call back over to Brian to moderate our Q&A session. Brian?
Operator: Thank you, sir. [Operator Instructions] And our first question will come from the line of Scott Graham with BMO Capital Markets. Your line is now open. Pardon, Mr. Graham your line is now open for Q&A session.
Scott Graham: Thanks. I'm here. So we've got – I've got a couple of questions here for you. You're looking at a year of organic growth of 3% to 5%. How much of that is being -- how much are you not getting from Canada this year? So, what is that costing you based on your comment, Bruce?
Bruce Thames: Yes. So, we really are seeing the growth in Canada begin to plateau with really a lack of pipeline, takeaway capacity, so some further investments there unlikely at a level above about what we've been seeing. We do see some very modest growth. But if you look – I mean that had a significant impact to our growth in the second half of the year, just some recovery and maintenance spending and has some pent-up demand. So we expect that to flatten a bit. We do see other parts of the globe growing in the coming year, particularly the U.S. is well-positioned with the backlog growth we've seen there and the project timing, so that -- Canada is having a significant impact on just the rate of growth that we are projecting going forward.
Scott Graham: Understood. Thank you. Another question I had for you is, I think first there was a comment about materials inflation being a headwind. And then there was a comment that, pricing would exceed materials inflation, unless I misunderstood. Can you kind of tell me which that is? What's the takeaway there?
Bruce Thames: Yes. My comment was that it would offset. So that's – I didn't say it would exceed my words were it would offset. So I think we'll offset it. I don't see -- the level of margin expansion that we experienced in fiscal 2018, I don't see the opportunities to expand as we had seen in going forward into 2019.
Scott Graham: Fair enough. Sorry for misquoting you there.
Bruce Thames: You're welcome.
Scott Graham: Hey. This is a question for you maybe on the gross margin. So, we have offsetting price cost according to Bruce. I thought I heard you guys say that you're expecting this CCI, the thermal business to for those margins to maybe come in a little bit, maybe I misheard that as well. I don't know. It sounds to me like gross margin sounds like ominously flat or lower in 2019. Could you help me triangulate around some math there?
Bruce Thames: Yes. We see flat. There maybe some modest upside. I think our comments around Thermon Heating Systems is really important point. We saw really healthy margins during the heating season. If you look at that business that's because of the volume effect on the fixed cost basis, so EBITDA margins were really good. What we see in the off season is lower volumes. The actual product margins remain very consistent. But the real difference there is just the leverage on the volume. And so we see compression during the first half of the year in margins and then we see that expand in the second half. And so that's probably what you're picking up on and the messaging that we're giving you about a full year. We owned them during the five-month heating season and the margins were exceptional on the volume. But we do expect that to be significantly lower in H1, particularly Q1 as we have that on the lower volume.
Scott Graham: Understood. And here's my last question. I don't mean to hog up the line, but the 3% to 5% organic that you refer to for next year kind of back to that, that is pure organic, that does not include FX, right?
Bruce Thames: That is correct. We don't speculate on FX, so absolutely.
Scott Graham: Very good. Thank you.
Jay Peterson: Thanks Scott.
Bruce Thames: Thank you.
Operator: Thank you. And our next question will come from line of Brian Drab with William Blair. Your line is now open.
Brian Drab: Hey, good morning. Thanks for taking my questions.
Bruce Thames: Good morning, Brian. How are you?
Brian Drab: I'm all right. Hey. So can you given on this fourth quarter report, we're always about two months into the next quarter. Is there anything that you can tell us about? And I know it's the seasonally least interesting period, but April and May I think you talked little bit about the momentum continuing in some of the geographies, but what are you seeing in April and May so far?
Bruce Thames: Yes. So, just some comments I made around the first half and also around Q1. We do see -- year-over-year we see a much healthier mix of Greenfield and certainly given the year we had in Q1 last year we see significant volume growth in Q1 year-over-year. We do expect that mix to be dilutive to margins, but we are seeing some very healthy growth in the first quarter.
Brian Drab: So, Bruce, if you do better than – I assume really healthy growth given that we just did double digit organic growth, really healthy growth probably means above 3 to 5 in the first quarter?
Bruce Thames: Yes.
Brian Drab: Is there -- as you look at the back half of the year though, does that mean we're going to be materially below 3 to 5 for 2Q through 4Q? Or is there just a conservatism and you know you don't want to make a call on the back half of the year so much at this moment?
Bruce Thames: Yes. So, first of all, overall we see positive momentum going into year. And I don't want to reiterate that. The last two quarters if you look, quarter-over-quarter our bookings are up by about 5%. And we did see some drawdown in backlog in Q4. This is a first quarter we haven't had a positive book-to-bill. But I want to emphasize that the bookings we had organically in the fourth quarter were the highest – was the highest fourth quarter we've had since 2012. We booked a very large project in Canada. So we are seeing a healthy booking environment. And the reality is, we're seeing a lot more projects. Our concern is just over project timing. It's important to reiterate. We're fairly late cycle. So we see a lot of positive momentum. The project timing is likely to be later in the year and can move. We have seen some movement to begin to accelerate projects, but we'd like to see a couple of quarters of that before we get more aggressive on our forecast. And I'd say finally, there is a lot of price volatility in oil. And I think that's probably having some impact on the rate of spending increases as we are seeing in our end customers.
Brian Drab: Okay, great. And if you could maybe -- I don't know if I could ask you to rank order, the oil and gas, PowerGen, petrochem in terms of potential contribution to growth in fiscal 2019. Could you take a stab at that for us?
Bruce Thames: Petrochem is by far the strongest. And I would say second would be oil and gas, and third would be Power.
Brian Drab: Okay. And that's what I would thought you'd say. Okay. And I guess petrochem specifically within the U.S. is the – is it strongest in the U.S.?
Bruce Thames: Yes. And we are seeing a lot of opportunities continue in the Middle East as well.
Brian Drab: Okay, great. And if I can just ask one more, have you seen impact from the tax policy that your customers are pulling forward projects to take advantage of full depreciation?
Bruce Thames: We haven't seen anything that we could tie directly back to the change in tax law.
Brian Drab: Okay. Thanks very much.
Bruce Thames: Thank you.
Jay Peterson: Thanks Brian.
Operator: Thank you. And our next question will come from the line of Charley Brady with SunTrust. Your line is now open.
Charley Brady: Hey. Thanks. Good morning, guys.
Bruce Thames: Good morning, Charley.
Charley Brady: Just the question on the R&D expense, you talk about another investment year. I just wondering, can you give us the sense of what that might be doing to as far as the margin impact this year? And should be expect that to level out after fiscal 2019 or is it something that you know maybe a slower increasing on the percentage basis, but continues to move higher?
Bruce Thames: We are really pacing our levels on investment in research and development. They directly tied to our product and technology roadmaps and the market potential and opportunity we see there and in the pace at which would like to see those realize. So, I guess, to answer your question, we will likely see some increase in future years. I feel like historically, at least over the last few years we've been slightly increasing it, but historically we've under invested there. And we see some significant opportunities to bring new solutions to the market and we're going to invest accordingly. Now, I do we expect the pace of overall is SG&A spending to begin to plateau with the volume growth we're saying and we were down 200 basis points year-over-year. And so we should begin to get some leverage on the overall SG&A spend in the business as we continue to grow.
Charley Brady: Thanks. And then just in terms of mix on fiscal 2019 with the project pipeline is coming through. I know you talked about some timing and stuff to get later timing wise. But I'm wondering from a Greenfield versus MRO/UE mix in the second half of fiscal 2019, it sounds like you're saying maybe Greenfield percentage could be higher than what it was in the second half of fiscal 2018. Am I interpreting that correctly?
Bruce Thames: It could be – it's really hard to anticipate that at this time. We do have a general sense of timing of projects, but they can move in and just movement of one or two projects can have a significant impact to that mix. For modeling purposes I would encourage you to use the historical 60/40, I mean, we're within plus or minus a couple of points to that in any given quarter there are some outliers, but its pretty consistent.
Charley Brady: Understood. And just one more from me; I don't know if you mentioned it, interest expense expectation for 2019 with the debt paydown?
Jay Peterson: Yes. So, on a cash basis, it will be approximately $16 million and interest expense all in is at 6% including the amortization of deferred debt charges. So it would be 6% on the $225 million balance.
Charley Brady: Thanks.
Operator: Thank you. And our next question will come from the line of Jon Braatz with Kansas City Capital. Your line is now open.
Jon Braatz: Good morning, Bruce. Good morning, Jay.
Bruce Thames: Good morning.
Jay Peterson: Good morning, Jon.
Jon Braatz: Bruce, when we look at THS and your expectations for next year, am I understanding correctly, revenue assumption is basically for THS sort of flattish year-over-year? And is that mostly because of the softness in the Canadian area?
Bruce Thames: Actually on a pro forma basis we have about 6% to 7% growth in that business.
Jon Braatz: Okay.
Bruce Thames: And they are much less tied -- those products are much less tied to oil and more in gas and I guess the other comment is earlier cycle. So we do see project opportunities there before they translate into heat-tracing opportunities. And we also see some opportunities with sales synergies as we plug those products into our market access in the Eastern Hemisphere. So all of those things are positively impacting the growth rates we see in the Thermon Heating Systems business on a pro forma basis.
Jon Braatz: Okay, okay. And then Jay, on the amortization expenses for 2019, will that decline a little bit as you work -- reduce the amortization charges associate with the backlog? Or will that be sort of constant with it? I think it was about 3700?
Jay Peterson: Yes. It will be a nominal impact, a very modest impact, so the 5.7 million is the operating expense impact per quarter. There was a slight impact to gross margins based on the backlog, but it's negligible when we look at the impact for next year.
Jon Braatz: So, 5.7 million continuous per quarter?
Jay Peterson: Yes. It does. It will move slightly based on FX. That would be $5.7.
Jon Braatz: Okay. All right. Thank you.
Bruce Thames: Thank you.
Jay Peterson: Thanks, Jon.
Operator: Thank you. [Operator Instructions] Our next question will come from the line of Scott Graham with BMO Capital Markets. Your line is now open.
Scott Graham: Hi, guys. I have a couple of more if you don't mind. Do you have an estimate on the percentage of backlog that you'd ship in fiscal 2019?
Jay Peterson: Yes. Rough numbers, Scott, would be 80%. Recall earlier in years we guided that we saw our backlog burn per track to the 15 to 18 month period. We're seeing a slight improvement on that. So I would model 15 months or approximately 80% of our starting backlog to be invoiced next year.
Scott Graham: Hey. And could you also tell us the dollars of THS that are in your split of Greenfield versus MRO/UE?
Jay Peterson: Yes. So the numbers we gave were the organic construct only.
Scott Graham: Well, okay.
Jay Peterson: And virtually all of THS's backlog would be considered MRO/UE based on that same definition.
Bruce Thames: We did have a couple of nuclear projects that shipped; represent about 10% that would be considered Greenfield. The balance would've been -- another 19% would've been MRO/UE.
Scott Graham: Got you. And then finally on the orders which look sort of mid-single digit for a couple of quarters now; is that Canada as well, or is there something else that's restraining that number?
Bruce Thames: Yes. Canada, the incoming order rate has again kind of plateaued. And I think that's largely it. We have as I said, well, let me say this, we do – we have seen a slowdown in orders in the Eastern Hemisphere. Although, we have line of sight to some significant bookings and they tend to be fairly lumpy in that part of the globe. So, while our order -- incoming order rates have been down particularly in EMEA and that contributed to that slower order growth. We do have a line of sight to some significant projects that we expect to close in the coming months.
Scott Graham: Okay. So then, from what -- I don't want to put words in your mouth, Bruce, but it sounds to me like the pace of orders growth should continue at least to this level with Canada having pulled it down?
Bruce Thames: That sort of expectation.
Scott Graham: America should be better, a couple of things weak here, including Canada. But we should to be able to stay in this sort of mid single digit organic going forward do you think?
Bruce Thames: That's our expectation and that influence our growth rates that we projected for the organic business in the coming year.
Scott Graham: Very good. Thanks a lot.
Bruce Thames: All right.
Operator: Thank you. And our next question will come from the line of Brian Drab with William Blair. Your line is now open.
Brian Drab: Hey. Just one more question. On the five new products, I'm curious if you could tell us anything about those products and maybe what categories they would fall into, and if there could be any material revenue generation either this year or in fiscal 2020 from those new products? Thanks.
Bruce Thames: Well, I'd like to wait until we've launched [ph] those products, but there actually a fairly wide range of products. They are again following execution of our product and technology roadmaps that we'll focus on expanding the solution set around controls, communication and connectivity, as well as in some other products and accessories in our heating line. So I'd really prefer to give more details about that in retrospect following launches and we'll tell you our expectations for those at the time of announcement.
Brian Drab: Can you say, Bruce if there's anything that, any ideas you have that came as a result of the acquisition and synergies between THS and the legacy business [Indiscernible] synergies?
Bruce Thames: There are some technology synergies. It will take us longer to realize those. These would be more consistent with the organic business and plans that we have laid out for growth of that business.
Brian Drab: So, all five of these new products would be within the legacy business and not within THS. Is that a fair conclusion?
Bruce Thames: Yes.
Brian Drab: Okay. Thanks a lot.
Bruce Thames: Thank you.
Operator: Thank you. And I'm showing no further questions at this time. So now it's my pleasure to turn the conference back to Mr. Bruce Thames, Chief Executive Officer for some closing comments and remarks.
Bruce Thames: Again, we're pleased with the overall results of the fourth quarter and really pleased with the accomplishments that this team has made in fiscal 2018. We're enthusiastic about what lies ahead in the coming year. We thank you all for your interest in Thermon and thank you for joining us on the call today.
Operator: Ladies and gentlemen, thank you for your participation on today's conference. This does conclude our program and you may all disconnect. Everybody have a wonderful day.